Operator: Welcome to the Second Quarter Year-end Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Security and Administrators and the company's annual report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, August 1, 2017. At this time, for opening remarks and introductions, I would like to turn the call over to the Founder and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, Operator. Good morning, everyone. Thanks for joining us for our second quarter conference call. I'm Jay Hennick, the Chairman and Chief Executive Officer. And with me today is John Friedrichsen, the Chief Financial Officer. This morning -- this morning's conference call will be webcast and is available in the Investor Relations section of our website and a presentation slide deck is also available there accompanying today's call. Earlier today, Colliers international reported strong financial results for the second quarter, continuing the momentum from the first. Revenues were up 13%, 15% in local currency; adjusted EBITDA was up 13%, 16% in local currency; and adjusted earnings per share increased 21% over the prior year. Year-to-date revenues were up 13%, adjusted EBITDA up 19% and adjusted earnings per share, about 33% over the comparable period. Before I turn things over to John for his financial report, I'd like to remind you that I intend to limit my prepared remarks so that we can leave as much time at the end of the call for questions. During the quarter, we completed our fifth acquisition of the year, adding Colliers Minneapolis - St. Paul to further strengthen our operations in the U.S. Midwest. So far this year, we've added about $200 million in annualized revenues through acquisition, having spent about $80 million in the process. As many of you know, we have a plan to double the size of our company by the year 2020. We're currently in the second year of the plan and so far, we're on track. However, achieving our 2020 plan will not be easy. We'll have to remain disciplined in our execution and be able to navigate changing economic and market conditions as we've done so well in the past. And we're highly motivated to succeed because unlike the others in the industry, this management team, including our high-quality professionals, own a significant equity stake at Colliers creating perfect alignment with our shareholders. Based on our results today, acquisitions completed so far this year in our current pipelines, we're optimistic that 2017 will be another successful year for Colliers and another step forward in achieving our goal. Now let me turn things over to John and then we'll open things up for questions. John?
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning and highlighted by Jay in his opening remarks, Colliers International Group recorded strong consolidated financial results for our second quarter of 2017. Solid contributions for our operations across our global platform. My comments will be tailored to address our Q2 regional results, capital deployment and cash flow as well as our financial capacity and outlook for 2017 rather than reading the contents of our press release. But we'll follow the flow of the slides posted on our website to accompany our call. Please note that my comments may reference non-GAAP measures such as adjusted EBITDA and adjusted EPS, over which are outlined in our press release issued this morning as well as in the accompanying slide deck and our components, primarily noncash charges that we view is largely unrelated to our operating results for the quarter. References to revenue growth, including internal growth are calculated based on local currency and also outlined in our press release issued this morning. Our second quarter revenues of $544 million, up 15% over the prior year, were comprised of $172 million of Sales Brokerage, up 15% while Lease Brokerage-generated revenues, $174 million, up 16% over Q2 of 2016. But the most significant year-over-year change in the Americas due primarily to the impact of U.S. acquisitions with Northern California and Midwest earlier in the year. Internal Brokerage revenues were down 1% versus a very strong comparative in Q2 2016. Meanwhile revenues from Outsourcing & Advisory services totaled $198 million, up 13%, led by solid internal growth in consulting and appraisal property management. More recurring revenues generated by our Outsourcing & Advisory services segment represented 36% of our overall revenues in the quarter compared to 37% in Q2 of 2016, a slight increase in mix attributable to the impact of an increase of transaction revenues and acquisitions completed earlier this year. Consolidated adjusted EBITDA was $59.6 million compared to $52.8 million last year or a margin of 11% versus 10.9% in the prior year quarter. Geographically, 59% of our revenues, 51% of our adjusted EBITDA, was generated in the Americas in our second quarter compared to 55% and 51%, respectively, last year. The increase in share of revenues bolstered by acquisitions completed in the U.S. year-on-year. Quarterly revenues in the Americas totaled $320 million, up 23% with 1% internal growth that's balance from acquisitions. Sales and lease brokerage revenue gains of 21% were driven by the impact of acquisitions in the U.S., offsetting a 3% internal decline in the region. Outsourcing & Advisory revenues were up 23% led by robust growth across all outsourcing and advisory service lines in U.S. and Canada. Adjusted EBITDA came in at $32.2 million versus $28.4 million last year, the margin declining slightly to 10.1% from 10.8% last year. Turning to EMEA. Revenues of $119 million for the quarter increased 6%, flat internal growth. Sales Brokerage revenues were up 19% over last year led by Spain and Central and Eastern Europe, along with recently completed acquisition in Denmark. Lease Brokerage revenues were up 10% led by strong leasing activity in Germany and France. Meanwhile, revenues from Outsourcing & Advisory services increased 1% led by strong internal and acquisition-related growth in the U.K., offset by a 19% decline in our global solution services in France, related to a strong comparative quarter of lower margin turnkey revenues. Adjusted EBITDA in the region were $17.3 million compared to $17.1 million last year at a 14.6% margin, same as last year. And finally in our Asia Pacific region. Revenues came in at $105 million, up 3%. Solid growth in Outsourcing & Advisory was offset by a small decline in Sales Brokerage driven by very strong Q2 of 2016. Lease Brokerage contributed a modest increase of 2%. Activity in Q2 was the offset of that experience in Q2 last year, with strong activity across all service lines being driven by China and Hong Kong and our other Asian markets, offsetting a month's decline in Australia and New Zealand revenues against the British pound imperative to Q2 of 2016. Adjusted EBITDA was $12.9 million, up from $10.5 million last year with the margin coming in at 12.3% versus 10.3% last year. Moving to our capital deployment and balance sheet in our second quarter of 2017, capital expenditures totaled $13.8 million, up from $6.5 million last year. Much of which was related to the relocation of our downtown Toronto operation from premises which we had occupied for over 25 years. Our significant investment in our downtown Toronto workplace represents a strong commitment of creating a highly-collaborative and attractive workplace environment for our most important assets, our people. We expect to generate a strong return through enhanced productivity, offering superior employee and client collaborative space, attracting the best talent in the greater Toronto area. North America's 4th largest commercial real estate market. For the full year of 2017, we expect to continue to invest $40 million to $45 million total CapEx across total operations. Pre the acquisitions. We invested $27 million in acquisition activity during the quarter, most of which relates to our expansion in U.S. Midwest compared to $14 million in Q2 of last year. We generated strong operating cash flow for working capital investment of $50 million, up 12% over Q2 of last year and $61 million after working capital in the most recently-completed quarter. More than twice the comparative amount in Q2 of 2016. Our net debt position stood at just over $300 million at the end of the quarter compared to $243 million at the end of Q2 last year, with the leverage ratio expressed in net debt to pro-forma adjusted EBITDA, 1.3x compared to 1.2x at the end of the prior year quarter. When we continue to benefit from low interest rates, with an average interest rate on our debt outstanding of 3.1% in Q2, we fixed a portion of our floating interest rates on $100 million of our debt for 5 years at 3.4% which contributed to the increase in our average interest rate from 2.5% prior year quarter. While this represents a slightly higher rate of interest, it rebalances our mix, fixed versus floating rate on our debt, it was a prudent move given the expectations of modest rise in marked interest rates going forward. In terms of financial capacity. With cash on hand and committed availability under our revolver, we had over $350 billion from liquidity at quarter end, a level ample to fund the operations and our capital investments, including acquisitions under our growth strategy. Looking across our global operations. Our pipelines in those markets continue to reflect the solid commercial real estate activity comparing favorably to levels at this time last year, but with improved visibility in the U.K. given the Brexit decision is now over 1-year old. With geopolitical risks and other major European markets moderated generally stable, low growth and economic conditions accompanied by a favorable interest rate and lending environment, the key elements are in place to support steady activity in sales, leasing and other commercial real estate services in the balance of 2017. As a result, our outlook for the year remains largely unchanged, including our expectations for global double digit percentage growth and revenues and low currencies, adjusted EBITDA margin, in line with 2016 and low double-digit percentage increase in adjusted earnings per share level. That concludes our prepared remarks. I would now like to ask our operator to open up the call for questions.
Operator: [Operator Instructions]. Your first question is from the line of Frederic Bastien with Raymond James.
Frederic Bastien: So, so far this year, your recent acquisitions have been contributing significantly more than what we had built into our forecast. So just wondering if there are any businesses that are exceeding the expectations you had set at the time of their acquisitions?
Jay Hennick: I didn't understand that question. But John, if you did?
John Friedrichsen: Yes, I think everybody's -- and here is the question and it's around expectations with respect to the contribution acquisitions? And what those acquisitions which we completed a lot of them earlier in the year, are contributing? I would say that's pretty much across the board of our acquisition are contributing at a level which we expected are slightly better. And that's certainly contributed to our growth in the first half of the year.
Jay Hennick: Yes. I would add to that, Fred, that so far, this year, we've met acquisition target for the whole year based on the 5 acquisitions that we completed so far. And as John said, we're very pleased with the results from each one month of them. So to the extent that acquisitions are an important part of our long term planning, obviously, we're very pleased with the results.
Frederic Bastien: That's great, I appreciate that. And you also had exceeded my expectations earlier in the year. As we look ahead, just curious which regions and/or service lines you're most excited about on the M&A front?
Jay Hennick: Well, as I think through the pipeline of current deals that we're looking at, we continue to be focused more on the EMEA and the U.S. than in Asia. Although we have one or two things in Asia that have some interest. So from our perspective -- and one of the great things about having a global brand and wide network, is we have great management teams on the front lines. They help originate transactions to the extent that we don't from here. And most importantly, they are now quite experienced at integrating those acquisitions wherever they may be. So we're focused primarily on those markets that are major markets where they'll be meaningful to the overall organization originating transactions at one market, transferring them to another market. So generally speaking, the acquisition pipeline is good and I think there's not one that makes me more excited than the other. Acquisitions is just part of our long term growth plan.
Frederic Bastien: Okay, cool. And if I look at, I guess, the key markets that you're operating in right now in the U.S. and Europe, are there any cities in particular where you feel your subscale and you would like to increase your presence?
Jay Hennick: Well, that's a very good question. My natural reaction is we're subscale everywhere. So there's an opportunity in every city to add a service, to add a line, to strengthen this existing service area. But I would say that if you wanted to drill a level deeper, I would say although our business in France is a good business, generating good profitability when we bought it, we knew that we had to fill out our service transaction business more so than our project management workplace solutions business. So there's big opportunities there. We did had a big -- a very big asset management business in France that's bear -- that's borne some nice fruit. We're very excited about some of the things that are happening in Germany. Bringing that business together is one that's really taken us to another level in Germany. We've opened up some smaller offices that would still be considered large markets within Germany. So those are 2 markets that are interesting. And we have -- we're optimistic, I guess, about some of the Nordic regions and what they could be doing for us longer term. So the EMEA is a very exciting spot for us.
Operator: Your next question is from Stephen MacLeod with BMO Capital Markets.
Stephen MacLeod: I just wanted to ask about the performance in 2 specific regions and maybe a little bit about the outlook?
Jay Hennick: Can you speak up a little, Steve?
Stephen MacLeod: Oh yes, sure. Just wanted to ask about the two specific regions and the outlook. So in terms of the Americas, you noted that you saw a bit of a slowdown on the brokerage side. And I'm just wondering if you've seen that accelerate at all through the -- what you see in the Q3 so far and when you expect through the end of the year?
Jay Hennick: I think our pipelines reflect very good activity in the Americas. So I think we're looking at bit of an uptick in terms of our growth expectations relative to where we've been so far this year.
Stephen MacLeod: Okay, that's helpful. And then in Europe, I would've expected margin performance to be a bit stronger just given the fact that your -- you had a weaker -- or you were a comping a very strong outsourcing and advisory period for last year. Was there anything on the brokerage side that led to margins being not quite as strong as maybe you would've expected given the mix change?
Jay Hennick: It does come down to the comp from last year. And because we have a relatively broad coverage in multiple markets within EMEA, with somewhat different characteristics around transaction profitability, we were comping some very strong activity last year. It was a very -- or for us, on the brokerage side, just keeping different markets and had a slightly less margin than we experienced last year. So even though we had a better, more favorable mix because of a reduction in our lower margin turnkey revenues, the -- when you look at the entirety of the upper performance, we ended up with a flat margin. But we still, in terms of looking forward, have very solid pipelines and expect a very profitable transaction-related revenues in the balance of 2017.
Stephen MacLeod: Okay. Okay, that's great. And then Jay, you mentioned in your prepared remarks just some -- you mentioned you have improved visibility in the U.K. or John, maybe it was your comments. And I'm just wondering if you can give a little bit of color as to what you're seeing in the U.K. market? Kind of 1 year post the Brexit announcement?
Jay Hennick: I think what we're seeing is a pretty solid market, robust activity. There was a period last year which you'll recall and this was reflected in our results in Q3, where there was such an elevated level of uncertainty post Brexit. And a surprise that's [indiscernible] is that it was a lot of waiting and seeing which, as we've finished the year last year, our activity level certainly increased. And we've seen pretty good activity through the first part of this year. That's that market. And then we continue to build significant momentum and it's throughout the U.K. particularly in London, around our existing business, both from the transaction and outsourcing advisory side, including the benefits of some -- these smaller acquisitions that we've done earlier in the year or late last year, have the impact this year. So I would say overall, quite positive. Notwithstanding the fact that there once chatter ago continuing Brexit discussions which we expect are just going to be a fact of life in the next couple of years.
Operator: Your next question is from Brandon Dobell with William Blair.
Brandon Dobell: Maybe one for John to start out with -- or maybe for both, actually. If you guys think about the longer term trajectory towards 2020, given what has been solid operating leverage in the first half of this year, how do we think about kind of a multi-year view on EBITDA margins, John? And especially, in light of, I think, the comments in the slide that you guys expected to remain consistent year-on-year yet first half was up. Just trying to reconcile those kind of puts and takes around margins for you guys.
John Friedrichsen: A lot of it will depend on mix between outsourcing and advisory and where we're acquiring or generating revenues and transactions side market-by-market. This year, we called for moderation and relatively flat margins compared to last year in part due to the nature and profitability related to acquisitions which, we believe, this year in the impact that they will have in overall business. But our expectation going forward, as part of this -- our 5-year plan of 2025 which we're in right now, we'll see modest accretion in the overall margins, more or less keeping the balance between outsourcing and advisory and transaction-related revenues you see in sales brokerage pretty consistent with where we're today. So in other words, as we increase our business and benefit from some scale in various markets -- and the U.S. is probably the most significant opportunity for us, we would see a modest increase of our margins such that in the terminal of year of our 5-year plan, we would see additional increase in margins of between 50 to 100 basis points.
Brandon Dobell: Okay, I think that's helpful. And given the difficult comparison in the first part of the year here in the outsourcing business, anything in the back half of the year that we should be aware of whether it's EMEA outsourcing or something else that creates kind of a project or the timing-driven comparison issue?
Jay Hennick: No, nothing of note. I would say that in Q3 of last year, in terms of comparisons, we worked through a challenging quarter in the U.K which then we saw a rebound that's subsequently in the fourth quarter. So we'll be comping that which is a benefit to us this year but throughout the rest of the region, there was nothing noteworthy to will impact our comparatives.
Brandon Dobell: Okay. And then given your success for the last several years in acquiring the affiliates in the U.S., if we look at the available affiliate revenue or system revenue out there, I guess, just in the U.S., how do we think about what those affiliates look like in terms of either service mix, types of businesses they are, transactional versus outsourcing and advisory? Or how do we think about the opportunity there to keep acquiring affiliates in the U.S. in particular, but maybe it's a broader comment about the U.S. and in the EMEA.
Jay Hennick: Yes, Brandon. It's -- as I reflect on the existing pipeline, very few are affiliates. So I would say that I look forward to affiliates -- affiliate acquisitions will be small. Of course, we'll do them from time to time if they make sense. We're also looking in the potential to expand our affiliate program in secondary cities. And -- but the acquisitions tend to be commercial real estate firms that are 1, 2 or 3 in their markets in our traditional-type brokerage, whether -- very few of which are affiliates today so they're strengthening our existing operations in different markets. And our pipelines also include additional service lines or expansions of current service lines like project management and asset property management which, all of it or overall base business but wouldn't necessarily be affiliates. So I would say that the -- that going forward, the affiliate program, although there, we basically acquired most of the ones that we'd like to acquire size.
Operator: Your next question comes in the line of Mitch Germain with JMP Securities.
Mitchell Germain: Congrats on the quarter. Jay, just -- I wanted to follow up on Brandon's comments about the acquisition pipeline. You said it was not full of a lot of affiliates. You talked about pipelines being pretty good. I'm just curious, you had the Welsh deal announced. I think it was early April. Nothing since then is -- anything to read in terms of that lag? Or things will pick up at the back part of the year?
Jay Hennick: Well, I mean, we did five between January in the last announcement which exceeded our target for the year. So we're very comfortable that we stopped here, that we've met our acquisition target. Having said that, we have a pipeline of opportunities and when they come through [indiscernible] as you know because you've been in the game a long time, is a function of price and quality of business and geographic regions. So they happen when they happen. I wish you could program them to have 2 in the third quarter or two in the fourth quarter and so on. But it doesn't usually work that way.
Mitchell Germain: I totally understand. I guess, I'm really more curious, has there been a change in the pricing environment?
Jay Hennick: I would say in some respects, yes. But it's a change in the price environment in larger transactions, bigger assets and in tangential -- probably a bad word, but service lines like property management, I'd see -- I would say that there's some pricing increases there, probably justified, frankly, because of the recurring nature of those businesses. We're seeing a little bit of that in the project management space, again, long term revenue streams, et cetera. But in core brokerage, sort of decent-sized businesses by a large segment.
Operator: Your next question comes from the line of Michael Smith with RBC Capital Markets.
Michael Smith: Just as a follow-up to the last question. So I know that acquisitions, your pipeline is pretty full. You've already sort of exceeded your target for the year and who knows when they close. But are you feeling good that you're going to add to -- going to get some deals across the finish line this year?
Jay Hennick: I'm always feeling -- I'm always feeling -- I'm optimistic that we'll add some more deals before the end of the year, yes.
Mitchell Germain: Okay. And maybe you could -- can you give us some color or your intentions for your -- and then people to grow the operations that way to fill out service lines? I know you've done that in the Americas last year. Any plans -- what are you thinking about that avenue growth?
Jay Hennick: Are you talking about recruiting?
Mitchell Germain: Yes.
Jay Hennick: Yes. Recruiting is an area that pricing has gone up in. The previous call, we're asked about acquisitions and I'd say strike zone acquisitions are, give or take, the same. But approving of key professionals and their teams in strategic markets has gone up generally by lesser firms that are trying to steal away a team to create a level of expertise in a given market. You don't really see it from Jones Lang or CB. They will be strategic from time to time but they're always looking at the return on their investment. And so we're actively recruiting and finding, from time to time, that we're up against, I'd call it, a lesser firm. I don't mean that in terms of quality. I mean that in terms of having a mobile platform and being able to execute on a global basis. And our teams, our business leaders, market leaders, all know that if somebody wants to join us, they're joining us for the right reasons. We have a high quality company that could execute anywhere globally. And we fundamentally believe that if that professional and his team join us, they'll not only be able to do better in personal terms because they have fulfilled that on a global basis, the better systems, the process to offer their clients. But if it's about money and their -- that the option is to go underway a firm that is not at our level, we won't compete with that, especially if we're not getting a decent return on invested capital. And our return has to be higher than acquisitions. So we've been pretty disciplined along the way there. But hopefully, that gives you some color around the direction our teams are operating.
Operator: [Operator Instructions]. Your next question comes to the line of Marc Riddick with Sidoti & Company.
Marc Riddick: I wanted to touch on -- a lot of my questions have already been answered by some of the things that you've already covered fairly -- well, I'm sorry, I appreciate that. But I did want to touch a little bit on some of the current views on some of the major markets versus maybe some of the secondary markets? And what you're seeing there, maybe what your expectations are for the remainder of the year, particularly in the U.S. and Canada?
Jay Hennick: Well, these would be very general. Are you talking about U.S.-specific?
Marc Riddick: Generally, yes. That's a good place to start, I guess. Yes.
Jay Hennick: Yes. So we're finding major markets very strong. Flattish growth given that they have been strong for a long time. There's a lot of secondary markets that have been enjoying some very good growth. I'll give you some names that people haven't heard about for a while. Places like Detroit, Michigan and other markets that are merging like that. Very interesting. I'm not sure that the lease rates are where they will ultimately be but there's a lot of activity and there's a lot of movement of corporates into some of those areas where it's just cool for the millennials to be there. And start out in a variety of other things we're seeing. We're seeing in some markets -- let's use New Jersey as an example. We're seeing some emptying of suburban office buildings as corporates rebook at space in more cooler areas. And so there's a lot of that going on. While I would say that the secondary markets are strengthening for us, it doesn't really move the needle yet but it's starting to. And it's great to see activity in those markets beyond where they have been historically. And interestingly, Colliers leads in most of those, let's call, a nonmajor market. So we would be one too in most of those markets. So we're actually -- we actually have a unique perspective in those areas. And it's quite nice to see.
Marc Riddick: Okay, that's great to hear. I was wondering about -- I wanted to touch on one of the comments in the -- about the prepared remarks in the press release, I guess, regarding the average transaction size. I was wondering if you had any sense that the slight -- I guess, it was a slight year-over-year reduction in average transactions. As whether that was -- I mean, that you viewed as being specific to you? Or sort of general to the industry?
Jay Hennick: I don't know if it's specific to us, Marc, quite frankly. I mean, it's only -- it is a quarter versus last year. Somewhat maybe around some of the activity -- acquisition activity that we've done. But perhaps some focus on acquired companies with slightly smaller transaction sizes. But I don't have with me the overall perspective of the market. I'm not sure if it's great market data on transaction activity. I know that there's some data services that tend to focus on the larger transactions, but much has been visibility on a number of smaller transactions. But I don't think it's anything that's particularly structural or necessarily something that's one of a beat for us but it was a factor in our second quarter versus last year.
Marc Riddick: Okay, I appreciate that. And then one last one for me. And admittedly, this might be quite of a squishy kind of question to ask but I'll ask it anyway. I wanted to get a sense of kind of where you felt you were on the 5-year plan as far as branding efforts? And kind of how comfortable you are with the progress that you've made so far and then some of the things that you might want to [Technical Difficulty].
Jay Hennick: Yes, we have. Somebody's got a lot of static on the lines here. I don't know who that is but we lost the last part of your question.
Marc Riddick: I guess, really, just sort of -- just wanted to get an update on [Technical Difficulty].
Jay Hennick: I guess it was you because we lost you.
Operator: There are no further questions in the queue at this time. I will turn the call back over to you, Mr. Hennick.
Jay Hennick: Okay, thank you. Ladies and gentlemen, thanks for joining us for the second quarter conference call. We look forward to speaking to you again in September and continuing to execute on our plans. So thanks for joining us. Have a great day.
Operator: Ladies and gentlemen, this concludes the quarterly investor's conference call. Thank you for your participation and have a nice day.